Operator: Welcome to the Lee Enterprises 2021 Fourth Quarter Webcast and Conference Call. The call is being recorded, and will be available for replay beginning later this morning at investors.lee.net. At the close of the planned remarks, there will be an opportunity for questions. . A link to the webcast can be found at investors.lee.net. Now, I will turn the call over to your host, Josh Rinehults, Vice President of Finance. Please go ahead. 
Josh Rinehults: Good morning. Thank you for joining us. Speaking on this morning's call is Kevin Mowbray, President and Chief Executive Officer; and Tim Millage, Vice President, Chief Financial Officer and Treasurer. Also with us on today's call and available for questions is Nathan Bekke, Vice President Audience Strategy. Earlier today, we issued a news release with preliminary results for our fourth fiscal quarter of 2021. It is available at lee.net as well as at major financial websites. We will be walking through an earnings presentation on today's call that can also be found at lee.net.  One housekeeping item to start. We closed on the acquisition of BH Media Group and the Buffalo News on March 16, 2020. Certain results and trends are presented on a pro forma basis, which assumes ownership of these acquisitions for the entirety of the periods presented. As a reminder, this morning's discussion will include forward-looking statements that are based on our current expectations. These statements are subject to certain risks, trends and uncertainties that could cause actual results to differ materially. Such factors are described in this morning's news release and also in our SEC filings. During the call, we make reference to certain non-GAAP financial measures, which are defined in our news release. Reconciliations to the relevant GAAP measures are included in tables accompanying the release. And now to open the discussion is our President and Chief Executive Officer, Kevin Mowbray. Kevin will open the conversation on Slide 3 of the earnings presentation for those following along. 
Kevin Mowbray: Thank you, Josh. Good morning everyone. I am Kevin Mowbray, President and CEO of Lee Enterprises. And I'm pleased you could join us. Before we dive into our results, I wanted to make a brief statement on the recent developments you'd likely see regarding Alden Global Capital. This morning, we issued a press release announcing the Lee Board of Directors has unanimously rejected the unsolicited proposal received from Alden on November 22, 2021 to acquire Lee for $24 per share in cash. After careful consideration with our financial and legal advisors, the Board determined that Alden's proposals grossly undervalued Lee and is not in the best interest of the company and its shareholders. If you haven't already, I would encourage you to review our press release. As I'm sure you'll understand that’s all we have to say on this matter, and we won't be taking any questions about Alden during our Q&A. We appreciate your cooperation. And with that, let's dive in. We'll start the discussion this morning with an overview of Lee's investment thesis and then discuss Lee, our strategy and our fourth quarter and 2021 operating results. Our strong foundation and well-defined long-term strategy puts Lee on a clear path to value creation for our readers, users, advertisers and our shareholders. Our execution of the Three Pillar Digital Growth Strategy is already delivering increased subscriptions and advertising revenue, strengthening our base of annual recurring revenue, and it is the pathway to replacing legacy revenue generating long-term growth of Lee's total operating revenue. Achieving revenue growth combined with strong cash flow allows us to achieve our long-term target leverage ratio of 2.5x within five years. And our Three Pillar Digital Growth Strategy positions us to unlock the full value of Lee’s platform and achieve multiple expansion that's in line with our digital-first peer companies, creating more value for Lee’s shareholders. At Lee’s core is our steadfast commitment to local news and providing the 77 predominately midsized communities that we serve with valuable, intensely local, original news and information. Recent events over the last year and a half have proven that our mission is more important than ever. Our newsrooms have been providing the crucial and factual coverage that our readers and users need to understand the impacts of the pandemic and related guidance in their communities. And Lee’s publications closely covered the local political races and issues that mattered most in our market during the 2020 election cycle. Our focus outside of major metropolitan markets provides us with key competitive advantages. Where we operate, Lee’s publications and platforms are the dominant source of local news and information and our well-established brands and trusted content have allowed us to plant deep roots in our communities. Our readers and users are engaged with our content. And small and midsized businesses, as well as a growing number of regional and national accounts rely on Lee as a results-driven advertising partner. Compared to news media players in major metro markets, we face significantly less competition for reader and advertiser attention, and our business is more resilient to the impact of macroeconomic trends. As the media landscape continues to evolve and audience and advertising dollars have shifted from print to digital, Lee has been forward thinking nimble at rethinking, repositioning and redeveloping our business with a digital-first mindset as evidenced by our digital subscription platforms, and our video e-commerce and first-party data solutions. We have a strong digital presence in all of our markets, and we're proud to have the fastest growing digital subscription platform in local media. Our digital-only subscriptions grew 65% in 2021, an 8th consecutive quarter industry-leading metric.  Growing our base of recurring sustainable revenue is important to our digital transformation and totaled 53% of our 2021 total operating revenue. Recurring revenues were $424 million in fiscal year 2021 and included our sticky revenue streams of audience revenue, Amplified Digital revenue, and revenue at TownNews, our SaaS content platform. This annual recurring revenue grew 370 basis points in 2021 and we see significant opportunity to accelerate growth, as we expand our total subscriber base, and drive greater market share of local advertising dollars through Amplified, our full service digital marketing agency. We have a proven track record as an excellent operator who delivered $117 million in adjusted EBITDA in our 2021 fiscal year, despite the continuing impacts of the pandemic. We have an established track record of outperforming our local media peers on revenue. Those qualities are some of the reasons Warren Buffett and the Berkshire Hathaway team entrusted Lee to manage their portfolio of local media operations, which we took over in 2018. We expanded that relationship with the completion of our acquisition of BH Media Group's portfolio. As part of that transaction, BH made a $576 million investment into our capital structure through the comprehensive debt refinancing in March of last year. This transformational transaction doubled our audience and significantly enhanced Lee’s financial position. Tim will discuss the transaction and our capital structure a little bit later in our presentation.  Slide 5 is an overview of our key business areas to drive our revenue and our growth. Our consumer business offers readers and users subscriptions for a leading portfolio of 350 print and digital platforms. These include marquee local news products, like the Buffalo News and the St. Louis Post-Dispatch, as well as other highly engaging niche platforms. Our content is strong, and our model is very sticky. Once we convert a reader or user to a subscriber, either to our digital-only or full access subscription, that revenue becomes recurring.  Total subscription revenue in 2021 was $358 million, up slightly from fiscal year 2020 on a pro forma basis, and supported by a strong 65% growth in digital-only subscriptions.  It's worth noting that our total paid subscribers grew in the last nine months. Digital subscribers grew to more than 400,000 and we're well on our way to achieving our long-term goals.  Our second segment is advertising and marketing services. Lee is an exceptional partner able to provide complex marketing solutions to a vast addressable market of local businesses in our communities. We've also been successful in capturing more advertising dollars from large out-of-market regional and national accounts.  Advertisers are attracted to our platform from two reasons: First, we have a large engaged audience across 77 markets. In the fourth quarter of fiscal year 2021 we captured a monthly average of 50 million unique website visitors. Second, we have deep in-house capabilities to activate sophisticated digital campaigns for advertisers through our full-service digital marketing agency Amplified, including custom video, e-commerce and first-party data campaigns. Amplified runs about 6,000 active campaigns per month and this capability presents a tremendous opportunity to drive revenue within and outside of our local markets.  The third revenue platform is TownNews digital services. TownNews is the leading web hosting service provider and the number one content service provider in local media in the country. TownNews clients include more than 2,000 other media organizations, including broadcast, publishing, radio and magazine. Over the past 10 years, TownNews has grown at a 10% compound annual growth rate contributing growing recurring revenue and maintaining an attractive 47% margin. Despite a smaller contribution to our total revenue, TownNews is the digital backbone of our local markets and is responsible for video and OTT expansion, as well as in the development of products and technology that will help us reach our advertising and audience targets.  These three revenue centers drive our business. Our goal is to leverage our highly talented executives and cutting-edge technology to grow our base of annual recurring revenue in order to achieve sustainable year-over-year revenue growth.  On Slide 6, we address our approach to accelerating our digital transformation. Our Three Pillar Digital Growth Strategy leverages Lee’s key strengths. Our local market expertise, industry-leading digital revenue growth and commitment to the highest quality news to build a larger recurring revenue base and generate long-term top-line growth. This growth will be driven by increased digital subscriptions and digital advertising revenue.  Our 3 pillars are: First, to transform the presentation of local news and information. We will continue to provide best-in-class reader and user experiences with enhanced digital presentation that emphasize video and other multimedia formats and rich high value content to drive enhanced engagement, outsized traffic and monetization. The second pillar, we aim to further accelerate our growth of digital-only subscribers by converting more of our vast addressable market to subscribers, leveraging our cutting-edge data and technology and extending offerings for paid and niche content on topics where we have expertise and unique selling position. Finally, our third pillar is to diversify and expand our offerings for advertisers. We have launched a portfolio of video advertising initiatives and e-commerce sales strategies through our in-house digital agency Amplified, enabling advertisers to reach consumers in new ways, leveraging Lee’s vast data-rich digital audience with our large local and highly-trained sales force of over  sellers, we are well-positioned to drive new revenue.  We expect to achieve three key goals within the next five years, as we execute on our plans. First, enhanced engagement, traffic and monetization across our platform and grow total paid subscribers, such that our subscriber base of print and digital grows in total over the five-year period, and digital-only subscriptions reach 900,000 within five years. Second, generate $100 million in annual revenue from Amplified Digital Agency in three years. And third, achieve a long-term leverage target of under 2.5x in five years. As I mentioned, digital-only subscriptions continue to grow at a rapid rate, up 65% compared to prior year and up 19% consecutively over third quarter results. We now have over  paid digital-only subscribers, which continue to drive audience performance. We are well on our way of reaching 900,000 digital-only subscribers and generating more than $100 million in high-margin annual recurring revenue. Based on the strong performance we remain the fastest growing digital subscription platform in local media. Our Amplified Digital Agency saw very strong growth in 2021 with revenue up 43% over last year. Year-over-year growth was 71% in Q4 as we continue to gain momentum. Amplified continues to diversify and expand its suite of products for local advertisers. We are providing robust custom video offerings, leveraging our relationship with local advertisers to build or enhance their e-commerce capabilities and leveraging our first-party data to better monetize our digital inventory. Video continues to be a major growth driver with revenue more than double that of last year, as we better monetize our sponsorship in branded content. And now, I'll turn it over to Tim to discuss our fourth quarter and full year financial performance.
Tim Millage: Thank you, Kevin. And good morning, everyone. In fiscal 21, we made excellent progress in strengthening our balance sheet and reducing our costs, while continuing to provide readers with high quality local journalism. We paid down $56 million in debt in 2021, reducing the principal balance to $483 million at year-end. We have paid down $94 million since the refinancing in March of 2020. One of the targets we set earlier this year was to achieve a net leverage ratio of 2.5x in five years. Through our strong adjusted EBITDA performance and debt reduction, we closed the year with a net leverage ratio of 3.9x adjusted EBITDA. Our credit agreement with Berkshire Hathaway has a low fixed annual interest rate, 25-year maturity, no fixed mandatory principal payments, and does not have financial performance covenants, meaning we do not have events of default tied to leverage or other maintenance ratios derived from financial performance of the company. Most importantly, the debt is with a single lender who knows us well and is committed to our success. The credit agreement also has no prepayment penalties, which affords us the ability to evaluate credit market conditions for an opportunistic refinancing to further improve our debt structure. The favorable debt structure is incredibly important for us as we execute on our Three Pillar Digital Growth Strategy, and it allows us the ability to make the necessary investments in talent and technology that fuels the recurring sustainable revenue growth. Also, our pension and postretirement benefit obligations at the end of September remained in a net overfunded position. This is a significant improvement in our balance sheet since September of 2020, where the net underfunded position was $95 million.  And moving to our fourth quarter and 2021 financial performance, we're very proud of our results. We finished the year with year-over-year revenue growth for two straight quarters and adjusted EBITDA growth for three straight quarters. Our strong fourth quarter and full year results clearly demonstrate the significant progress we have made since we launched our Three Pillar Digital Growth Strategy.  Total operating revenue was up 1% in the fourth quarter and totaled $194 million. The revenue growth was attributed to our digital transformation. Total digital revenue increased 37% in the fourth quarter, totaling $67 million. The increase was driven by the 71% revenue growth in Amplified, 28% growth in digital-only subscription revenue, and 8% growth at TownNews. More than 1/3 of our total operating revenue is digital revenue, up from just 25% in the fourth quarter of last year. Digital revenue growth is exceeding our expectations in every category including digital advertising and marketing services, digital services and digital subscriptions. Almost 55% of our fourth quarter total operating revenue was annual recurring revenue or subscription based. As we have discussed, this revenue is sticky in nature and provides us with a very strong sustainable revenue base that we will continue to grow as we move into 2022.  Adjusted EBITDA totaled $25.8 million in the fourth quarter, up for the third straight quarter. For the full year, adjusted EBITDA totaled $116.6 million. Cash costs were up 2% in the fourth quarter due to one-time favorable cost impacts in the prior year resulting from the pandemic, as well as investments made in the current year in talent and technology to fuel digital growth. Excluding the one-time cost impacts in the prior year, cash costs were down 1% in fourth quarter. Compensation was down 3% after adjusting for the temporary measures taken last year, due to business transformation and acquisition integration initiatives.  Newsprint was down 1% due to reduction in our print units partially offset by increases in pricing, and other cash costs including print related costs, like print production expenses, delivery expenses, as well as digital cost of goods sold. Other cash costs were up 1.5% as a result of the incremental digital investments.  Overall, we are really pleased with our fourth quarter and 2021 operating results and the progress we've made in our digital transformation.  And with that, I will turn it back to Kevin to wrap up. 
Kevin Mowbray : Thanks Tim. Our strong foundation of well-defined long-term strategy puts Lee Enterprises on a clear path to value creation for our readers, users, advertisers and our shareholders. We're very pleased and excited about the next phase of our growth and we're confident about our future. We believe we have the right team and the right strategies aimed at growing revenue year-over-year. We believe we are better positioned than ever to drive long-term shareholder value creation.  One last thing before we open the line for questions. We expect to file our 10-K with the SEC tomorrow, and as always, it will include additional information on our results and expectations.  This concludes our remarks. The team will remain online for any additional questions you may have. Operator, please open the line for questions. 
Operator: . And we take our first question from Michael Kupinski. 
Michael Kupinski: Thank you. And first of all, congratulations on your strong quarter. A couple of questions. Obviously, your plans are to invest -- to enhance your growth in your digital media businesses. And I was wondering if you can give us the number of FTEs you had in the quarter? And if you can give us some thoughts on the expectations of your staffing growth as you kind of invest in these digital businesses?
Kevin Mowbray: Yes, thanks for your comments, Mike. Appreciate that. FTE counts are down in the quarter, mostly because of the transformation initiatives that we have made in managing the legacy business. Partially offsetting that are some of the investments that we've made in digital talent -- in the digital sales talent, as well as on the consumer front as well. 
Michael Kupinski: And then, obviously, changes in your paywall appears to be significantly enhancing your digital-only subscription growth. Can you talk a little bit about the prospects of further opportunities on adjusting your paywalls for subscriptions and things like that? 
Kevin Mowbray: Yes. So one of the things that we did this year was we reduced our paywalls throughout 2021. And as you mentioned, that did have a big impact on our digital-only subscriber growth. We will continue to leverage technology to help implement things like a dynamic meter that can help leverage our growth even more. And obviously, there's a lot of other tactics that we have deployed to help drive our digital subscription growth. 
Michael Kupinski: And then in terms of -- you’ve kind of gone through the fiscal first quarter so far, is there any thoughts in terms of like as we look back a little bit into the fiscal fourth quarter digital O and O revenue, can you kind of give us a thought -- I know you talked a little bit about on this, but what was the total revenue for digital O and O in the quarter?
Tim Millage: Fourth quarter our digital O and O revenue was $16.5 million. And moving in through, that’s been a strong category for us and we expect that to be a continued strong performer in the future as well.
Michael Kupinski: Got you. And then in terms of, your thoughts of the leverage of 2.5x as your target, that does not include asset sales or does it?
Tim Millage: That would include asset sales? So, any asset sale -- it’s a good point. Any asset sale that we have -- and we have roughly $30 million of assets for sale right now, and any assets -- proceeds from asset sales, we would use to reduce debt, and that would help achieve our target leverage ratio of 2.5x.
Michael Kupinski: That $30 million is what you're already factored into the $2.5 million, or are there other additional asset sales embedded in that number?
Tim Millage: Yes. $30 million is what we have embedded in there. We do think that there are other opportunities over and above that, as we continue to move through our digital transformation, we will evaluate opportunities for further real estate monetization.
Operator: Thank you. At this time, we have no further questions. We turn back to management for closing remarks.
Kevin Mowbray: We do have a couple of questions over the web that we will answer.
Josh Rinehults: Yes. So, our first question from the webcast is, can you walk through the conversion of EBITDA to debt reduction?
Tim Millage: Yes. It's a good question. So, we had $117 million in adjusted EBITDA in 2021, and just walking that down to kind of a free cash flow metric of $45 million of interest expense, around $8 million in capital expenditures and around $8 million in income taxes that were paid. And that gets to about what our debt reduction was for the fiscal year. So, it gives you a little bit of bridge or walk from our adjusted EBITDA down to our debt reduction.
Josh Rinehults: Our second question from the webcast is, how much do you anticipate Lee's deal with Mudd Advertising contributing to revenue in 2022?
Kevin Mowbray: We are very excited about our deal with Mudd Advertising. As you know, when we made that announcement, Lee's digital backbone for all of their digital campaigns they sell across the country and we believe that business will only continue to grow for Lee in '22.
Josh Rinehults: And we have no more questions from our web participants. I'll turn it back to Kevin closing remarks.
Kevin Mowbray: Thank you all for joining the call today. We really appreciate your interest in Lee and time you took to hear our story this morning. Thanks again.
Operator: Thank you, ladies and gentlemen. At this time, we've reached the end of our question-and-answer session. This concludes our call. You may disconnect.